Operator: Ladies and gentlemen, thank you for standing by. Welcome to Nano Labs First Half of 2024 Earnings Conference Call. [Operator Instructions]. This conference is being recorded today, Wednesday, September 18, 2024. Joining us today from Nano Labs are the company's Chairman and Chief Executive Officer; Mr. Jianping Kong, and the company's Chief Financial Officer, Mr. Bing Chen. On our call today, Mr. Kong will give you an overview of the company's performance. Mr. Chen will share the details of the company's financial results. After that, we will conduct a question-and-answer session to take your questions. Before we continue, I would like to remind you that some information discussed on this call will contain forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934, as amended and as defined in the U.S. Private Securities Litigation Reform Act of 1995. Such statements are based upon management's current expectations and current market and operating conditions and relate to events that involve known or unknown risks, uncertainties and other factors. All of which are difficult to predict and many of which are beyond the company's control, which may cause the company's actual results, performance or achievements to differ materially from those in the forward-looking statements. Further information regarding these and other risks, uncertainties or factors is included in the company's filings with the Securities and Exchange Commission. During today's call, Mr. Kong and Mr. Chen will deliver their remarks in Chinese, and the company's representative will provide corresponding English translation. With that, I will now turn the call over to Mr. Kong, the company's Chairman and Chief Executive Officer. Mr. Kong, please go ahead.
Jianping Kong : [Foreign Language]. Thank you, operator, and everyone, for joining Nano Labs First Half of 2024 Earnings Conference Call today. On our call today, I will provide an overview of our recent development and our strategic initiatives in the future. [Foreign Language]. The first half of 2024 has clearly witnessed a recovery in the industry and the continuous emergence of new market opportunities. Amid this existing bull market environment, our company has been making substantial investments in the research and development of our upgraded Cuckoo Series products. In May 2024, we successfully commenced the mass production of Cuckoo 3.0 chip, which features significantly enhanced the performance compared to the Cuckoo 2.0 chip, setting a new global benchmark. This key development positions to capitalize on new market opportunities progressively. Moreover, our company plans to launch a range of models equipped with the Cuckoo 3.0 chip for various application scenarios in the remainder of this year and the first half of next year, which is expected to drive significant growth in our sales. [Foreign Language]. Furthermore, we are continuously innovating in packaging technology and IP to improve the efficiency of chip production, the development of promising AI computing, ZK computing and other chips is also on the way. Concurrently, our iPollo Metaverse's photography studio service, a component of our Metaverse business suite is making consistent progress. We have established a profound collaborations with various institutions and organizations, which lays the groundwork for substantial growth potential in the future. We anticipate that through the combined persistence and efforts of the industry and ourselves, we will overcome existing [indiscernible] and unlock new heights of success in the future. [Foreign Language]. Thank you for your support and trust. Next, I will turn the call over to our Chief Financial Officer Mr. Chen for a closer review of our financial results. Mr. Chen, please go ahead.
Bing Chen : [Foreign Language]. Thank you, Mr. Kong. Good morning, everyone. On behalf of the management team, I will provide a brief financial overview of the first half of 2024. In the first half of 2024, our net revenue was RMB24.74 million, USD3.47 million compared to RMB52.37 million in the same period last year. This decline was primarily due to the decreased sales of the iPollo V1 Series product. However, revenue from our 3D-printing products showed significant growth, increasing to RMB459,200 from RMB22,000. Cost of revenues for the first half of fiscal year 2024 were RMB24.71 million. USD3.47 million, compared to RMB115.2 million in the same period of 2023. The change was mainly due to the decrease in sales volume and the less inventory write-down recorded. [Foreign Language]. Total operating expenses rate for the first half of fiscal year, 2024 decreased by 20.1% to RMB58.72 million. USD8.24 million, down from RMB73.50 million in the same period of 2023. Selling and marketing expenses dropped by 54.4% to RMB4.33 million, USD0.61 million, compared to RMB9.50 million in the same period of 2023. This decrease was mainly due to reduced sales commissions and product shipping expenses. [Foreign Language]. General and administrative expenses decreased by 18% to RMB25.45 million, USD3.57 million for the first half of 2024 from RMB31.04 million for the same period of 2023. The decrease in general and administrative expenses was primarily due to the decrease in office lease expenses, mainly attributable to the relocation of the head office and the decrease in employee salary expenses as the number and salaries of general and administrative staff decreased. [Foreign Language]. Research and development expenses decreased by 12.2% to RMB28.93 million, USD4.06 million for the first year -- for the first half of 2024. From RMB32.95 million for the same period of 2023. The decrease in research and development expenses was primarily due to the decrease in salary expenses. [Foreign Language]. Loss from operations was RMB58.69 million, USD8.24 million for the first half of 2024, compared with loss from operations of RMB136.4 million for the same period of 2023. Net loss was RMB59.50 million, USD8.30 million for the first half of 2024, compared to a net loss of RMB134.3 million in the same period of 2023. Basic and diluted loss per share was RMB0.85, USD0.12 for the first half of 2024, compared to basic and diluted loss per share of RMB2.41 in the same period of 2023. As of June 30, 2024, the company had cash and cash equivalents of RMB23.51 million, USD3.3 million compared with RMB48.15 million as of December 31 -- as of December 31, 2023. [Foreign Language]. We remain confident in our business strategy and ability to execute it. We will continue to leverage the strength of our technology to capture development opportunity, drive long-term growth and create additional value for our shareholders. Now I would like to turn the call over to the operator for a questions-and-answer session.
Operator: [Operator Instructions]. Your first question comes from Oscar Tracey, Private Investor. Please go ahead.
Unidentified Analyst: So, I'm just wondering, could you provide some more details about your new 3D products? Thank you.
Jianping Kong : [Foreign Language]. Our company's newly launched Cuckoo3.0 Chip is an upgraded integration of the original Cuckoo 2. We significantly improved performance. The Cuckoo 3 has reached a leading position globally, machines equipped with [indiscernible] quantities of these chips can be used not only in data center environments, but also independently in-home or consumer set teams, offering flexibility for various user scenarios.
Operator: Your next question comes from Arana Rabner a private investor. Please go ahead.
Unidentified Analyst: Thank you. What are the company's expectations for the market and financial figures in the second half of this year?
Bing Chen : [Foreign Language]. Our company plan to launch our complete mission equipped with Cuckoo 3 chip in the second half of the year, which is expected to drive an increase in sales of [indiscernible] products. Additionally, we are gradually introducing new product lines to the market, and we anticipate the sales volume to go over time.
Operator: Your next question comes from Clara Walton, Private Investor. Please go ahead.
Unidentified Analyst: I have a question. What sort of competitivity advantage of the reasons, last Cuckoo 3.0, as they have relevant to the recent AI trends? Thank you.
Jianping Kong : [Foreign Language]. The Cuckoo 3.0 Chip offers the highest computing power and the lowest power efficiency among our current products. Our company has developed multiple models to cater to different application scenarios regarding AI, the Cuckoo 3 features are high-bandwidth multichannel, 3D DRAM with dedicated distributed on-chip network to enable efficient data exchange between computing and storage units, which is a key technology in AI chips. Additionally, the chief specialized low-voltage circuit designed to reduce power consumption aligned with corresponding timing sign of processes provide a comparative advantage for AI chip design.
Operator: The next question comes from Armstrong Wu, Private Investor. Please go ahead.
Unidentified Analyst: Thank you. My question is, will the company introduce any new product lines that could support its business revenue in the future? Thank you.
Bing Chen : [Foreign Language]. As mentioned before, our company plans to launch complete machines equipped with Cuckoo 3 chips in the second half of this year and the first half of next year, which is expected to significantly boost sales. Additionally, our photo studio services will contribute to the company's overall revenue. We are also exploring new opportunities in fields such as AI computing to drive our future revenue growth.
Operator: And that concludes the question-and-answer session. Let me turn the call over to Mr. Chen for closing remarks.
Bing Chen: [Foreign Language]. Thank you very much for joining this conference call. If you have any questions, please contact us through email at ir@nano.cn, or reach our IR counsel, Ascent Investor Relations, at investors@ascent-ir.com. Management will respond to your questions as soon as possible. We appreciate your interest and support in Nano Labs and look forward to speaking with you again next time.
Operator: Thank you again for attending Nano Lab's First Half of 2024 Earnings Conference Call. This concludes our call today, and we thank you all for listening in. Goodbye.